Becky Herrick: Paul, you may begin.
Paul Arling: Okay. Sorry about that everybody. We somehow got disconnected. Thank you, Becky and thank you all for joining us today. Our fourth quarter results came in as expected with net sales of $160.1 million and EPS of $0.70 per share. On a full-year basis, net sales were $654.1 million and EPS was $2.91 a share representing growth of 9% and 4% over last year respectively. Our industry is undergoing an evolution where more advanced technologies and connectivity protocols are becoming the standard. Our customers are introducing few features and entertainment options that make the user experience more dynamic and exciting. The increasingly innovative devices and services being introduced are far more complex than yesterday’s platforms. During this transition some of our partners’ development cycles can be subject timing delays as they may go through several design feature and technology iterations including extensive user testing and validation before launching their platforms. These new product introductions are inarguably moving forward as advanced platforms are becoming the industry standard. We’re excited to continue to partner with our customers to rollout these new advanced technologies in the months and years ahead. Despite any delays, we may have experienced, our year-end results were as expected and as the New Year starts, we’re beginning to see the positive effect of new project shipping as Bryan will get to shortly when he discusses our first quarter guidance. The transition to more advanced platforms represents a large and growing opportunity for UEI both in the initial rollout stage as well as on a long-term supply basis. But it’s important to understand some of the details of our business to better understand the elements of this growth. There are many things that drive sales within our business particularly within subscription broadcasting. One of them is technology upgrade for sure. But there are many others as well. First is upgrade, cycles. The average home in the U.S. has more than one television. When our broadcast customers introduce a new platform, consumers will often upgrade to the new system on their primary TVs before first considering the whole home. While these partial and subsequent whole-home upgrades represent new remote-controlled purchases by our customers, these upgrade cycles may not necessarily affect the service provider, subscriber numbers that are reported. Second is, churn. While cable operators have put measures in place to reduce churn over the years, there is still a fair amount of turnover in their respective customer base. To account for this change in customers, operators are still actively providing equipment to new subscribers on a continuing basis, even as their subscriber numbers remain unchanged. The third, is wear and tear, remote controls may get broken in a variety of ways. They get liquids spilled on them and there are people with children and dogs in the test, and they get chewed, hidden or lost. In addition, and I think Atlanta Falcons fans can back this up when your favorite sports team loses, your remote might find itself in pieces on the ground after being thrown across the room. Indeed remotes live a hard and dangerous life that unfortunately sometimes can end tragically. So those devices need to be replaced. This, wear and tear replacement remotes are necessary to ensure continued use of the system and do not affect the subscriber numbers that our customers report. Blended together, our North American subscription broadcast customers buy on average new devices equal to approximately 75% to 80% of their total subscriber base each and every year regardless of where they are in the technology upgrade cycle. Importantly, this number has remained relatively unchanged for many years and will likely remain unchanged going forward even as our customers go through yet another technology evolution. We have seen this consistent purchase cycle from multiple technology upgrades across the last two decades, including the transition from analog to digital, from SD to HD, from non-DVR to DVR. And now as we migrate to advance IT enable two-way video platforms. This deeper understanding of our market should encourage investors to look beyond simple metrics of subscriber count or upgrade cycles to assess our business potential. Over the next few years, more and more broadcasters will transition to these advanced platforms, and although the transition may not bring significant change in unit volumes, the average selling price associated with the new advanced remote controlled technologies we supply will continue to drive overall sales growth for UEI. Turning to a review of our recent business highlights. During the fourth quarter, we continued to expand the market adoption of our QuickSet product family. QuickSet enables the effortless setup and control of devices within the ever-growing home entertainment landscape. QuickSet has been deployed in hundreds of millions of devices worldwide including television, stereo, set-top boxes, over the top players, game consoles, smartphones, tablets and more. In December we announced our long-term partner Comcast who was the first service provider to deploy our QuickSet cloud solution. QuickSet cloud represents the world’s most comprehensive database which ensures nearly all consumer electronic devices can be automatically recognized and controlled with a remote control. This solution solves the biggest challenge associated with setting up and programming newly installed home entertainment devices for the first time. Comcast has integrated QuickSet cloud into its X1 entertainment operating system and its voice remote. Our partnership with Comcast demonstrates the close working relationship we have with our customers as we work to develop innovative solutions that meet our customers’ high standards and deliver a world-class experience to their customers. We also announced we’re supplying the advanced voice remote control and QuickSet cloud technology for the newly launched AirTV player that combines stream TVs live TV channels with Netflix and Google Play over the top video libraries. At CES in January, we introduced QuickSet 4.0, the latest iteration of our advanced platform. QuickSet 4.0 moves beyond control capabilities with the addition of Control plus IT services which enables the discovery of connected devices in a home, and services rich metadata on content and applications that users care about across devices and brands. We also unveiled a number of new product innovations. In our wireless home security business, we showcased the latest in home sensing, monitoring and control solutions ranging from intelligent door and window sensors to weather sensors to automated light switches and more. We also displayed our portfolio of home temperature controllers, designed for some of the world’s largest consumer HVAC brands. We began shipping some of the new products in our portfolio late in the fourth quarter with more set to be introduced throughout 2017. Using the existing broadband architecture, our customers are introducing new platforms to consumers that support services and applications that weren’t possible even just one year ago. Our intelligence sensing technologies combined with our home entertainment control innovations, to provide customers a more complete smart-home solution. The long-term opportunity this represents is large and compelling. Today we are providing the best home entertainment control and safety and security products in the world. But there are tremendous numbers of smart-home and IoT applications available and more are being introduced every day. Our customer base is ideally suited to implement these solutions. And we are providing the devices and technologies that enable consumers to connect and control virtually any device in their home. We’re at the very early stages of this opportunity and I look forward to keeping you updated on our progress. With that, I’d now like to have Bryan Hackworth our CFO, take you through the financial results.
Bryan Hackworth: Thank you, Paul. As a reminder, our results for the fourth quarter and full-year 2016 as well as the same period in 2015 will reference adjusted non-GAAP metrics. Overall we performed as we expected in the fourth quarter as both the top line and bottom line fell within the guidance provided on our last earnings call. Fourth quarter net sales were $160.1 million compared to $162.1 million for the fourth quarter of 2015. Business category net sales were $144.9 million compared to $145.4 million in the fourth quarter of 2015. Consumer category revenue was $15.2 million compared to $16.7 million in the prior year quarter. Gross profit was $43 million or 26.9%, compared to 28.8%. Although we’ve not yet maximized in our factory’s capacity, we did make significant progress in the fourth quarter. Our fourth quarter gross margin grade of 26.9% represents the highest grade of the year and was achieved primarily through productivity gains as we continue to transfer production from our Southern China factory to our Northern China factory as we begin to ramp up production for the new and advanced production rollouts. Operating expenses were $29.1 million compared to $31.4 million in the fourth quarter of 2015. R&D expense was $4.4 million compared to $5.4 million. SG&A was $24.7 million compared to $26 million. Operating income was $13.9 million compared to $15.2 million. Effective tax rate was approximately 18% compared to 13%. As expected net income, was $10.4 million or $0.70 per diluted share compared to $13.4 million or $0.91 per diluted share in the prior year period. For the full-year 2016, net sales was, $654.1 million compared to $602.8 million in 2015. Gross margins were 26.2%, compared to 27.9%. Operating expenses were $117.8 million compared to $112.9 million in 2015. Operating income was $53.5 million, compared to $55 million. Net income was $42.9 million, or $2.91 per diluted share, compared to $43.3 million or $2.79 per diluted share in 2015. Next, I will review our cash flow and balance sheet at December 31, 2016. We ended the quarter with cash and cash equivalents of $50.6 million compared to $53 million at December 31, 2015. Depending on market conditions, we may aggressively purchase shares when we open market as the positive trends in our industry support our long-term outlook. DSOs were approximately 70 days at December 31, 2016 compared to 68 days a year prior. Net inventory turns were approximately 3.8 turns at December 31, 2016 compared to 3.9 turns a year prior. Now turning to our guidance. For the first quarter of 2017, we expect net sales to range between $155 million and $163 million compared to $151 million in the first quarter 2016. EPS for the first quarter is expected to range from $0.57 to $0.67 compared to $0.50 in the first quarter of 2016. This represents EPS growth of between 14% and 34%. We are reaffirming our long-term financial outlook. We expect average annual sales growth of 5% to 10% and average earnings per share growth of 10% to 20%. I would now like to turn call back to Paul.
Paul Arling: Thanks, Bryan. We’re at the beginning stages of the major shift in home controls. The world’s largest home entertainment device makers are introducing more advanced technologies and products. And they’ve enabled the interconnection of a multitude of home entertainment and home security devices. UEI has established itself as the provider of choice to these companies as we develop and deploy solutions that make these advanced technologies and products easier to setup and use every day. As the growth of home entertainment and home security continues and the concept of the smart-home continues to emerge, UEI is ideally positioned to build on our leadership in the industry. We have established relationships with the world’s leading names in home entertainment worldwide including Comcast, DIRECTV, EchoStar, DISH, Cox, Charter, Sony, Samsung, Panasonic, SKY, Liberty, Vodafone, Microsoft and many, many more. And we have worked with many as they continue to design, develop and deploy their industry-leading next-generation products and services. We have a three-decade track record of introducing the products and technologies that change the way consumers interact with devices in their home, making setup and everyday user easier than they have ever been before. In our 30-year history, we have truly changed what a remote control is, and what it is capable of doing. And we’re not done yet. In fact, in many ways, we’re just getting started. Stay tuned. I’d now like to open up the call for questions.
Operator: Thank you. [Operator Instructions] And our first question comes from Greg Burns with Sidoti & Company. Your line is open.
Greg Burns: Good afternoon. Last quarter you talked about a dozen or so customer delays. Could you just give us an update on those delays, did they begin shipping in the first quarter or do you have visibility into when they might begin shipping?
Paul Arling: Yes, some of them are shipped. There is, a couple that are still awaiting shipments. But will be soon. So, as we said on the prior call, some of these projects get delayed by weeks, some of them can actually be delayed by months. But there are all going to ship. Some of them already and a few others will as time unfolds. And then we have a lot behind that.
Greg Burns: Okay. So the delays you talked about last quarter are either shipped or you have good visibility on them shipping shortly. Was there any other delays -- did you see any other delays in your pipeline of business what you saw last quarter that might be offsetting some of these that are now shipping?
Paul Arling: No. Not in terms of project rollouts. But we have dozens of projects that will roll out in the next six months. So, and they’re scheduled to, they haven’t -- they're not delayed. But as we go on, as more of them enter, they help offset anything that might be delayed by weeks and months.
Greg Burns: Okay. And so, I guess the guidance seems to imply a sequential increase in business revenue, so I guess that would jive with the rollouts accelerating. But as we look into the balance of the year and into the second and third quarter, would you expect given the rollout that you have visibility to that business revenue kind of growth accelerates throughout the year?
Bryan Hackworth: Greg, we don’t give long-term guidance or at least within the year, we give it on a say three to five year basis. But you can see in the Q1 forecast where the mid-point 5% and the upper range, is close to 8%. And that represents primarily new product introductions, majority of that process as Paul was mentioning, the shipments and the new rollouts that came towards the end of Q4 as well as a couple in Q1. So that’s primarily all new rollouts going from the lower end platforms to the higher end platforms. As the year progresses, as these new products come on, I don’t want to forecast too much but we’ve got a lot of projects that as they roll-out, it should help the growth.
Greg Burns: Okay, thanks. And could you give us the split of what percent of revenue was Comcast and what was DIRECTV?
Bryan Hackworth: I can give you Comcast, it was 23.6%. DIRECTV was not a significant customer this quarter, significant being defined by greater than 10%.
Greg Burns: Okay. And could you talk about maybe your view on what Comcast is doing with Roku and application-based delivery of their service through third party set-top boxes. Is that a risk to the business longer-term?
Paul Arling: Well, I can’t speak specifically about Comcast. We have a policy against doing that. I would just say that we do have customers that are doing that sort of product and/or technology. In some cases, we’re supporting it. So, there is a direct benefit to us. In other cases, there is, you could argue there is a threat but none of these have yet to affect the forecast that our customers are giving us so, that we would then in turn give to you.
Greg Burns: Okay, thank you.
Operator: Thank you. And our next question comes from Mike Olson with Piper Jaffray. Your line is open.
Mike Olson: Hi, good afternoon. Just a slight nuance to that delayed deployment question. Just to be clear when you say that these deployments are now shipping. Does that mean the service provider customers are deploying their systems now and you are shipping next-gen remotes to them now or does it mean that they’re deploying their systems now and you’ll be shipping remotes to them some time in the future kind of after their systems are out in the market for some period of time?
Paul Arling: No. We would ship them now. So, as the products deploy, they deploy with our products and/or technologies.
Mike Olson: Okay, makes sense. And then, I guess Bryan, could you provide any thoughts on what you would expect Q1 gross margins will look like?
Bryan Hackworth: Well, we don’t give guidance specifically on gross margin. But I will say in Q4 we were very happy with the progress we’ve made. I think we’ve mentioned on previous calls that one of our goals is to get the gross margin rate up. And I think sequentially made nice progress where we’ve mentioned that at GTY, which is our Northern factory, we increased infrastructure, we hired people, etcetera, basically increased the overhead to absorb and to a weaker demand for these new rollouts. And because we got delayed, there is some slight inefficiency in the short-run. But in the long-run we’re going to be fine. And we ended up moving more production from our Southern factory which we’re eventually going to shutdown and sell. We now said on our press release last quarter but that also helps as we load up more production in a factory, we’ve produced more efficiently and we’ve grown the overhead more efficiently and essentially reduces your cost per unit. So, we are very happy with the progress we made in Q4.
Paul Arling: And it’s important to note we actually wanted to repeat it twice in the call but Bryan didn’t want to. Again, the sales growth is single-digit range for Q1 and the earnings are 14% to 34%. So that should give you an idea of a little bit of margin expansion, not necessarily gross margin because we’re not guiding on gross but net margin that’s pretty strong growth in earnings for the quarter.
Mike Olson: Yes, okay, makes sense. And then, Paul, you mentioned this in the prepared remarks as TV service providers look to find new ways to extract revenue from their customers. You guys are already there on security side. Are there any specifics on some of the other technologies that you could see service providers potentially adding to their portfolio that you could participate on?
Paul Arling: Yes, good question Mike. I figured I’d get it. I have to be careful because we’re in the midst of working on many projects probably dozens of projects in a variety of areas for major customers worldwide. We have quite a few HVAC projects that we’re working on right now. There are other home control, smart-home, IoT, whatever classification you want to use, applications that these new platforms can utilize and that our customers are targeting as a potential enhancement to their service and/or revenue generator for them or both. But I can’t give a lot of specifics about the products, the exact products or technologies they’ll be using. The only thing I suggest is that if anyone were to go out and read an article that’s been written recently about smart-home or IoT, the fact is that our customer base is ideally suited with these new platforms to implement almost any of those in almost any area because the platform they have is IP enabled, it has battery efficient two-way RF technology embedded in it, which allows battery operated or powered products. There is almost no application that’s talked about that can’t be easily implemented by our customer base. And they are experimenting with and/or various stages of developing some of those applications.
Mike Olson: All right. Thanks very much.
Operator: [Operator Instructions]. And our next question comes from Steven Frankel with Dougherty. Your line is open.
Steven Frankel: Good afternoon, Paul. You talked about [indiscernible] new products that you showed at CES. But maybe just a quick update on shipping their traditional security end-points. Did you ship material volume to Comcast in the quarter? And how is your United Technologies relationship going to with the mission to penetrate the third party ADTs of this world?
Paul Arling: Yes, I can’t speak specifically about the quantities shipped to either or any customer really. But I will say both sides of that are going well. We have shipped product to the industry, product we plan to ship in Q4. And we have more product expectations this year, obviously targeting a significantly higher than our company average often relatively small base but have great growth expectations from that business, founded on projects that we are working on currently on both sides of that equation, on the traditional security provider channel as well as subscription broadcasting.
Steven Frankel: Sorry, go ahead.
Paul Arling: Go ahead.
Steven Frankel: So, last year, you got a lot of rave reviews for the QuickSet technology that Samsung and Sony put into a couple models of their TVs. What’s the penetration of that technology in 2017 TV sets and did you get any new customers beyond those two?
Paul Arling: Well, they’re two of the biggest. All I would say is that what’s happened now is as typically happens in that industry, there is an annual design cycle. And what typically happens is the first year the put it in some models, test the effect and then broaden the models. And that’s exactly what’s happened. So we expect to be in as time goes on this year and as time goes on, to be in more and more models. As we iterate the software and the technology, we make it better and better every year. And the customers love what they see. As you pointed out, the reviews of the technology were astoundingly good. So, we expect that they’re going to see this as a key element of their product line. We’ll probably take it to a much wider array of their skews as time goes on. And that is happening this year but we expect that to happen going forward in future years as well.
Steven Frankel: Great. And I don’t want Bryan to feel left out. So, what are we thinking about CapEx for 2017 and what tax rate is implied in your guidance for Q1?
Bryan Hackworth: Yes, as far as CapEx is concerned, it’s going to -- it should be lower in 2017. In 2016 we had a lot going on. We had increased the capacity at a Northern factory as well as one of our Southwestern factories as well. So that caused additional CapEx. And like I said, we haven’t had to increase the machinery equipments well to support the demand to meet the demand. So it should be lower. I would probably say in the low to mid-20s in 2017. I think the good news is the base was going to increase a little bit just because the more volume we’re doing, the more production and the more production, more often you have to replace the machine and equipment. So, that’s good news. As far as the tax rate is concerned, I don’t think it should differ materially for the year. For the quarter, I don’t want to give any specifics and bore you with the tax details. But quarter-to-quarter it can vary, when you talk about quarter-over-quarter, year-over-year. As for full-year, I expect it to be very similar to 2016.
Steven Frankel: Okay, great. Thank you.
Operator: [Operator Instructions]. And we have a follow-up Greg Burns with Sidoti & Company. Your line is open.
Greg Burns: Hi, so, the QuickSet cloud deployment with Comcast, what’ the incremental ASP for you for that type of service? And I guess, what are your conversations like with your other subscription broadcast provider customers in terms of deploying that technology?
Paul Arling: Yes, we won’t give specifics on any economic arrangement with a specific customer, so I can’t tell you what the arrangement with Comcast is specifically. But things like QuickSet, the QuickSet 3.8 before it, the new QuickSet 4.0, all the way back to QuickSet 1.0. What this does is differentiates our solution versus our competition. At this point, I don’t know of anyone else that’s doing anything that’s in the same ballpark as what we’re doing with QuickSet 4.0 and QuickSet cloud. And what we typically do with customers if it’s embedded in the overall solution. So we price our units being implemented because as you might have guessed, with QuickSet, QuickSet utilizes a connection to the remote. So a remote gets sold in every time so we embed the technology license if you will; the up-charge into the unit itself. So, it differentiates us, it gains us a higher share of business. It penetrates customers we may not have had before. And in fact, as I pointed out in the prepared remarks, the ASPs of new units for a variety of reasons but probably including QuickSet is ramping significantly. The average selling price of a unit. And embedded in that if you want up-charge, or that up-rise in ASP is that I guess you could say the economic value of QuickSet.
Greg Burns: Okay. Thank you.
Operator: Thank you. And I’m showing no further questions at this time. I’d like to turn the call back to Mr. Paul Arling for any closing remarks.
Paul Arling: Okay. Thank you for joining us today. Sorry about dropping off at the beginning. We had a slight technological problem. And thank you for your continued interest in UEI. It’s a little early to announce this but I will anyway so you can forward plan. We’ll be presenting at the 18th Annual B. Riley Investor Conference held May 24th through the 25th. We’ll be at the Baird Global Consumer Technology and Services Conference on June 7, and Citi Small and Mid-Cap Conference held June 8th and 9th. So, two conferences that same week in New York, 7th at Baird and Citi on 8th or 9th. We look forward to seeing you at one or more of these events. And thank you much and goodbye.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This concludes today’s program. You may all disconnect. Everyone have a great day.